Zhiheng Wang: Ladies and gentlemen, good afternoon. Welcome to Agricultural Bank of China 2024 Interim Results Announcement. I'm very honored to meet with both offline and online analysts as well as media friends from both in home and abroad. So here, I would like to thank you for your active participation, in our announcement and in Q2 for your long-term interest in Agriculture Bank's development. So we do have the other participants, the Executive Director, Vice President of our bank, Mr. Zhang Xuguang, Executive Director, Vice President, Lin Li; Vice President, Cui Yong; (ph) Vice President, Liu Hong and Board Secretary, Liu Chen (ph) as well as the other directors online. Next, I would like to firstly introduce the performance results of Agricultural Bank of China in the first half. In the first half of the year, we actively generally implement the deployment of the central government. We also actually to a very good performance in our business performance, and we also strike very solid steps in terms of high-quality development. Therefore, major manifestations. First, the major quality indicators keep positive growth. We should see that the Chinese economy has been continuously recovering and also created a very good business environment for Agricultural Bank of China. So we have been very entrepreneurial in the first half of the year, we have the net profit RMB136.5 billion, a 2% increase year-on-year and operating income RMB3,075 (ph) billion, increased by 4% and interest income, RMB290 billion, increased by 1%. So you can see these are all positive growth. And NIM 1.45% and 1 bps up versus the first quarter. So you can see NIM has been stabilized. And the second, deposit as well as loans increased positively. So you can see that loan totaled RMB24.4 trillion, incremental of RMB1.77 trillion and increased by 7.8% and will also be very strong in terms of the client management. So you can see that the total deposit from the client and RMB34.1 trillion, an incremental of RMB1.5 trillion. And domestic corporate balance is about RMB11.9 trillion, and personal deposit as well as individual deposits are ranking the first among the peers and the deposit interest bearing is 1.63%, dropped by 0.8 percentage points. And suddenly, the asset quality remains stable. NPL ratio 1.32%, dropped by 0.01% versus the end of last year. And you can see that the overdue loans also dropped by 0.01%. And the loan provisioning rate is 303.94%. So you can see that the total provision is more than RMB1 trillion. So you can see the asset quality is pretty much sound with adequate provisioning and a very safe cushion. And fourth, we have been further consolidating our client base. Our individual clients is about 870 million, ranking top among the peers. The newly added credit card users is about 3.96 million and Agricultural Wealth Management 11.9 million and corporate clients 11.5 million, an incremental of 674,000. Clients a cornerstone for our survival and development, we have to further consolidate the base of our clients for the future growth. In H1, the reason for such -- some performance should be attributable to the ones guidance as well as determination of the central government. So good macroeconomic conditions as well as the support from the shareholders as well as the client. It should also be attributable to the positive efforts from all the employees of our bank. And next, I would like to talk about the three major tasks. First, we serve the three agriculture as well as the integration of urban and rural development. First, we coordinate the new type of revitalization and urbanization. We continuously to increase the loans provided to the county level institutions. So you can see that the county level loans accounts for 40.1% incremental of 87 million, increased by 9.4%, 1.6% higher than the average. And second, we focus on a major area and deepen the financial services. We focus on brand as well as the major agriculture product supply and development loans is about RMB99.7 billion, incremental of RMB9.4 million. So you can see that we have been more capable in terms of safeguarding supply. So you can see that the rural-related and the construction-related loan balance is RMB2.2 trillion increased by 13.6% and 830 poverty alleviation counties also get more than 11.9 million loans and 180 focused or the mainly targeted poverty alleviation counties also has incremental of 1.3 million loans. This has been further consolidating the results of the poverty alleviation. And the third, with new models, we have been very much dedicated to benefiting the agriculture. Our agriculture related loans has been witnessing an increase of 94.5%. We also have the agriculture land loans code chain loans as well as the other innovative loan types. So it satisfied diversified needs of our agriculture clients. In the poverty stricken areas, we also have the poverty alleviation loans and incremental of RMB33.2 billion to empower the agriculture farm house. And second, the five major chapters as well as the other financial services do witness fruitful results. First, we focus on the development of the new quality productive forces, and we also constructed a new mechanism for the high technology manufacturing, an incremental of 52.7% and strategically important emerging area with the incremental of RMB53 billion. And then second, we also focus on the low carbon and green transition of our society. We deeply (ph) deploy the green as well as the green credit extension. Green credit balance is more than RMB4.8 trillion, while at the same time, through green M&A loans, green bonds, as well as the other products, we also offered more than RMB200 billion, an increase of 30%. The ESG-related wealth management products totaled 19 with a total amount of RMB54.1 billion and said, we continuously optimized inclusive finance services. Inclusive finance has been witnessing higher quality. So PBOC calculated the inclusive loan is actually RMB450 million. And in terms of the amount as well as the growth, we're also ranking number one. And fourth, we actively developed pension support a financial development. We develop multilevel multi-pillar pension scheme development to support the electronic as well as the physical social security cards and medical card as a total clients is actually the 342 million and 343 million. And individual pension accounts as well as the contribution are also ranking among the top in this industry. We also optimized elderly support financial services. We have the elderly adaptive renovation for our financial outlets, so as to deliver more comfortable and convenient environment. We also get more support to our clients, including big credit as well as loans deposit and elderly support products. And fifth, digital financial services has witnessed more innovations. Reform is the first driver. So we deeply integrated into the digital China development for us to empower our businesses. So the personal mobile, MAU is at RMB223 million. So the increase of 8.59%, also taking the lead in this industry. For our online credit [indiscernible] balance is more than RMB500 million, increase of 20.3%. We also serve the high quality development and said, we also coordinated the safe development. First, we have been intensifying to mitigate the credit risk. Risk mitigation is our top priority. We have been actively promote the risks in different areas to support the real estate sector financing support as to safe guard the delivery of the houses. We precisely satisfy the reasonable needs of the real estate projects. We implemented a package of the debt mitigation and resolution solution, so as to properly handle the resolution of the NPL and actually, the asset quality has been very stable. And the second will be forward looking in market risk control. We timely adjust the duration as well as the structure of the bonds as to have a better management of the exposure. We also greatly strengthen the management of all kinds of platforms to have the system management of all kinds of businesses, to have a very good understanding and assessment about our derivative strategies and that continuously consolidate the technology safety mechanism to have the emergency release as well as the other mitigation drill to have tested more than 50 systems to actually ensure the continuous business deployment. So these are the business performance as well as our focus is in the first half of the year. And next, I would like to brief you about our arrangement in the second half. We think that the Chinese economic development is quite resilient from middle to long-term economic transition and industrial upgrading has been properly handled. New momentum has been cultivated. In particular, with the third plan, all kinds of measures to deepen reform as well as the macro regulation measures. So market vitality as well as potential will be continuously stimulated, but at the same time, our bank will continue to implement the third plenum of 20th party congress to continue to precisely serve the three agricultures as well as the real economies so as to promote high quality development of the Agricultural Bank of China. And in the second half of the year, we will continue to do the following jobs. First, we will continue to actually maintain the stability. So with the positive growth, we will continue to take the potential to further expand the sources of income to consolidate our business. And second, we will continue to serve the agriculture rural, as well as the farmers related business as well as the county clients. According to the third plenum of the 20th party progress, we have seen more opportunities for the rural development. We will grasp these opportunities to focus on the priorities of the agriculture as well as rural development, innovate our business so that we will better serve the three agriculture as well as rural revitalization. Third, we will continue to strengthen the services delivered to the real economy. And in recent years, we will continue to promote the optimization of the agriculture-related economy. So we will continue to defend the financial services delivered to the fund major capture, stabilized growth and to make up for the weaknesses continuously to improve the precision of serving the real economy. And we will also be forward looking to mitigate all kinds of risks. We will actually have the overall safety approach. So we will have the early warning as well as the disposal. So that we can ensure the overall stability of the quality. So that's all for my introduction. And next, we come to the Q&A session. We would like to invite [indiscernible] the Board Secretary to moderate this session.
A - Unidentified Company Representative: Thank you, President, Wang. Now we come to the QA session. Each of the speaker please raise one question only. Please also identify yourself before you raise the question. First, outside speaker, the lady in the front row.
Unidentified Participant: Dear management, thank you for giving me this chance for raising the question. I come from Shanghai Securities. So we see that the revenue and the margin are quite good in the first half of the year. So what are the drivers for such a good performance? In the second half of the year, do you think that you will continue to maintain such a good performance? So what will be the drivers for the future growth?
Zhiheng Wang: Okay. Let me take this question. I would like to thank the journalist from Shanghai Securities daily and just a brief view about our performance in the first half of the year. In the first half of the year, we keep our role as the mainstay for serving the real economy. While promoting economic growth, we have in down-to-earth manner, proposed our own high quality development striking a balance between speed and quality, efficiency and quality. Overall performance is turning for the better. According to the details I shared with you, operation -- net profit, operating income and net interest income have realized year-on-year positive growth and NIM has also been stabilized. NPL ratio stabilized. That means in the context of the current economy, this is no easy job. This has laid a solid foundation for the whole year performance. It also validated the effectiveness of the initiatives and strategies for the first half of the year. That means the key priorities we have set and the methodology we adopted are elective. So we are confident in the second half and also the whole year performance result. In the opening remarks, we have mentioned for the second half, the target is to keep the whole year operational quality and efficiency. We'll keep steady growth and stability and break and build, we will use for keeping to realize whole year stability and improvement for whole year first, stable growth of the credit size and optimization of the structure in the first half of the -- strength and support for the real economy, loans have realized stable growth. In terms of the structure, we have been optimizing it in key areas and weakness. We have strengthened our efforts. For example, county loans, rural revitalization, key county loans, manufacturing industry green, credit, increasing finance and the Sci-tech finance, we have kept a very good, very high growth rate. So the structure has been keeping optimizing and overall scale is having stable growth. Going forward, we'll continue to focus on our key business areas and adapt to the policy directions of macroeconomic control and make sure the five major initiatives will be used to serve new quality productive process with a stable supply of financing. Second, we'll go all out to ensure the overall stability of NIM. In the first half, NIM has stabilized and even turned for the better. In the latter half of the year, we will strike a balance between quality and pricing so that the pricing is more refined. And we'll also, in a down-to-earth manner, improve our service capability and also the cementing of the customer base and control as the liabilities to ensure the stability of NIM. Third, we'll keep non-interest income diversified growth. In the first half, fee income decline margin is 7.9% compared with quarter one, that is narrowed. In the second half, we will keep expansion of domestic funds, promote consumption and the credit market high quality. These opportunities will be used for high quality development of credit. We'll also follow closely the market developments and adapt, a flexibly to financial market fluctuations to optimize our investment portfolios and transaction strategies to tap potentials and encourage other -- the growth of other non-interest income. Lastly, we hope to keep stability of asset quality, that is a very essential point. In the first half, NPL ratio, overdue rate compared with the end of last year, declined by 0.01 percentage points and the provision coverage rate was kept at a very high level. So we have adequate capability to compensate for the risks. In the second half, we'll comprehensively increase risk control, especially, key areas and country level risk mitigation, and we also strengthened the demand management of overdue loans and we'll also strengthen the efforts to collect back the interest and principal for non-performing assets. Through such measures, for the stability of the overall performance of the second half, we are quite confident. That's all for my answer to this question.
Unidentified Company Representative: Thank you, President, Wang for the answer now. We would like to invite a question from the online meeting room. We will use the application time as a sequence. First question, please.
Xue Yan: Thank you for the opportunities to raise the question. I'm Xue Yan from Morgan Stanley about NIM. We can see in the first half, it has been running and has been recovering. So from the asset side and from the liability side, why NIM is getting for the better. Look, going forward, for July, the deposits interest rate pricing is lowered, but LPR is also lowered, of course. So can you give us your trending, predicting about the NIM trend?
Zhiheng Wang: Thank you, dear analyst for the question. Let me respond to this question. In this first half of this year, under the guidance of macroeconomic policies, policy interest of LPR has been lowered and overall trend of interest rate is declining, and the banking sector is considering profits to the real economy, continuously, as the analyst mentioned. NIM is overall narrowed, but compared with quarter one, it is stabilizing and turning for the better. And for the new margin rallying from the asset and liability size, mainly affected by the following factors from the asset side, mainly it is due to the lowering of LPR and also the mortgaging loan interest rate, adjustment of the real estate sector, and we also have conceded (ph) profits to the real economy. Therefore, the real estate mortgage loans, interest rate is lowered. This is consistent with other banks. And the decline margin has also turned for the better. In order to adapt to the current situation, we have been following closely the economic transformation. For example, centering around [indiscernible] and the five major financial initiatives to tap the potential and needs of real economy. For the overall credit expansion and the structure optimization has also contributed positively to NIM. It has also offsetted the overall impact of lowered LPR. From the liability side, we have been conveying the messages of the market requirement of interest rate adjustment. Last year, comparable to our peers for 3 times, we lowered the interest rate. This year, many loans entered the state of repricing especially for mid-term and long-term loans. So therefore, for newly generated loan interest rates, it has been remarkably reduced. Therefore, for deposit cost pressure on us is lowered and the deposit interest rate has been declined a little bit compared with the end of last year. For 2023 RMB newly generated time deposits, the interest rate at 2.16% and for the first half of this year, it has dropped to 1.85%, 31 bp decline. And about the deposit interest rate, it has been lowered to 1.7%. Compared with last year, it was lowered by 8 bps. So the overall impact from both loans and deposits, you can see. And from the liability side, the cost has declined and the pressure on us is lowered. Therefore, NIM is turning for the better. The analyst asked a question about the July LPR, policy interest rate lowering and ABC interest rate lowering. The overall impact of these two factors can be offsetted and that is beneficial for us to stabilize the NIM. Going forward, especially, in the second half of this year in terms of the NIM’s trend, according to our current analysis, overall NIM will be kept at a stable level. On the one hand, we are enhancing support -- financial support for the real economy so that the financing cost can be reduced, while stabilizing, so NIM will have the pressure of further narrowing, coupled with the bond market interest rate at a low level. So NIM will still be under pressure. We will work hard to realize reasonable growth of credit size and also the constant improvement of quality and structure to offset the pressure from the liability side, from the policy perspective. June, July deposit interest rate lowering is a reflection of the results of the market based deposit interest rate adjustments. Especially for RMB market, the pressure will be lowered. And for the U.S. Fed, interest cuts is in the final stage. It is estimated that there will be interest cuts by the U.S. Fed in September. So from that perspective, for foreign currency interest -- liabilities interest rate increase will be ended. So for the current pressure from foreign currency will also be alleviated. And we are constantly improving and strengthening our management to strengthen the control of liabilities cost to ensure high quality of liabilities. From that perspective, the deposit interest rate has space for further improvement. Taken as a whole, in light of all those factors NIM in the second half will be kept at a stable level. We will also strive to realize further margin improvement of NIM. That's all for my response to your question.
Unidentified Company Representative: Thank you, President Wang, for your response into depth explanation about NIM trend. Next question. Gentleman in the middle, please.
Unidentified Participant: Senior management from [indiscernible] News. In the first half, ABC loans have cut a very stable level, what will be the future top priority areas for loans to serve the real economy? I would like to ask VP, Zhang Xuguang to answer the question.
Zhang Xuguang: Thank you, dear analyst for your question. For ABC, we have been upholding the principles serving the real economy through five major initiatives, financial initiatives to provide credit support for weak areas. There are following features. First of all, the growth is balanced and evenly distributed. Current loan balance is RMB24.4 billion, an increase of RMB1.8 trillion, a growth rate of 7.8%. For rural economy, loans increased by RMB2.1 trillion. Growth rate is 10.2%. Taken as a whole, credit expansion has kept a reasonable pace and the overall size is increasing. Second feature, credit structure is fit for purpose for transformation. ABC is sticking to our -- main business is county level loans increased by 9.4% higher than the average growth rate by 1.6 percentage points. We also focus on key areas of green finance credit balance, increased by RMB8 trillion, growth rate higher than average. The manufacturing industry increase of RMB270 billion, growth rate totaled 9% inclusive finance loans, a growth of RMB600 billion, a growth rate of 24.4%. And for personal loans, we are leading, increase of more than RMB500 billion, a growth rate of 7.3% both the increment and the growth rate at the leading position compared with our peers. But personal business loans increased by more than RMB270 billion. For personal consumer finance loan including credit cost, it increased by RMB130 billion. In the second half of the year with the Chinese economy further rallying, the real economics credit demand will also be rallying. It is estimated the total credit loans of ABC will keep a reasonable growth. In the second half, we will keep working on following priority areas. First of all, based on the central conference on financial work, according to the requirements for high-quality development with optimized allocation of financial resources. We'll guide more credit resources to be put into five major chapters [indiscernible] and key areas set by the country to further optimize the credit structure. First of all, we will continue to focus on main businesses, including poverty alleviation and industry development in rural areas, totally seven areas to increase credit support for rural revitalization. Second, we will strengthen inclusive finance services, which is still a blue sea with great potential and great demand. ABC is committed to building ourselves into our bank with a widest coverage and the biggest support for inclusive finance loans. Third, we'll serve green transformation with positive support for low carbon transformation and green elaboration (ph) of ecosystems. And fourth (ph) to make tech finance even stronger to follow the technological guidance from our central government and focus on the key client base to improve the credit extension support and also adapted to all kinds of fintech services system related to the latest development to stably expand the scope of the pilot projects as well as to further accelerate iteration, so as to provide a whole life cycle services to the tech companies, and fifth, to deliver the more comprehensive individual financial services. And recently, you can see continuous growth of the farmhouse. Our great support to our business development. In the second half of the year, we will focus on the production, consumption and operation of the farmhouse, so as to increase the extension of the credit to the farmhouse. Generally speaking, we will coordinate the balanced aggregate as well as a good mix of structure so as to enhance the quality of the credit extension.
Unidentified Company Representative: Thank you President, Zhang. Next one, please. This gentlemen.
Unidentified Participant: Hi, everyone. I'm the analyst from Zhoushan (ph) Securities. In May, you can see that -- was the policy of the real estate sector. The government has been promoted commercial banks participate in the reasonable finance of the real estate developers. So what about the wet list of the Agricultural Bank of China and what are the related projects? And the corporate real estate loans, whether the NPL already hit the bottom. What will be the priorities in the future and how are you going to consolidate new model to serve the real estate sector?
Unidentified Company Representative: Okay. We would like to give the floor to Vice President, Liu Hong.
Liu Hong: Thank you for raising this question. Since the first half of this year, the government has been positively guide real estate sector policy optimization. We downgrade the loan interest rate and reduced the down payment ratio and lifted the expansions as well as restrictions so as to provide a loose environment. So you can see there are some positive changes on the market. In some of the geography, the commercial house projects sold are very positive. And on the upward trend, the confidence of the market is slowly recovering. Our bank has been resolutely implement the decisions as well as the policy so as to clear our role as a countercyclical. So we follow the market oriented as well as the legal based rules to satisfy all the developers reasonable financing needs to facilitate the stability and optimization of the real estate sector. In the first half of 2024, so our real estate balance is RMB892.3 billion, an incremental of RMB131 billion, mainly to the urban renovation as well as the social housing projects, etc., as well as the commercial projects with better promises and stable cash flow. So the client base also covers SOEs mixed ownership as well as the private companies. So you can see that with the urban real estate financing mechanism established, in the first half of the year, you can see the three batches of the white list. ABC strictly follow the regulators requirements and also captured the projects and implement the closed end management of all the funds. So actually, the SOEs, mixed ownership as well as the private developers are all in the name list. So actually, we are also positively push forward the smooth progress of the project. By the end of June, you can see that the real estate NPL ratio has remained flat, much lower than the peak time of the previous year. The newly added NPL is also decreasing. Our bank will continue to strengthen the ratio control of the property sector to have full provisioning and to actually ensure the stability as well as the quality of our assets. So we will continue to construct a new model of real estate development to construct the good houses satisfied with the needs of the people, so as to satisfy people's needs for living better and live a wealthy life. In the future, we will continue to implement the rules of the third plenum about the new decisions of the real estate to satisfy the reasonable financing needs after developers so as to push for the sound and the positive development of the real estate sector. First, we will continue to ensure the delivery of the houses. We will strengthen the connection with the government to inevitably use different approach to finance the projects and to dispose the risks. And the second, we'll continue to enhance the quality of the coordination mechanism, continue with the widest mechanism. So as you pay attention to both the quantity as well as the quality. And instead, we will continue to provide finance to the three major projects. In particular for actual leaders, they will use a list to actually have the approval procedures accelerated for the social housing project. Okay. That's all from my side.
Unidentified Company Representative: Thank you, President Liu. Next question please.
Unidentified Participant: Thank you, management from Financial Times. My question is about rural revitalization. So in promoting rural revitalization, but what will be the major measures adopted by the management, so what will be the future outlook? And in the future, how you're going to implement the spirit of the third plenum of the 20th party congress as to do a good job in the rural vitalization?
Unidentified Company Representative: We would like to give the floor to President, Lin Li.
Lin Li : Okay. Thank you for this question. In Agricultural Bank of China, we regularly emphasized one philosophy, which is also our working language. We always see that. We should be agriculture prioritized, which means we should serve agriculture rural areas as well as farmers. These are our main businesses. We delicately implement the spirit of the central government and state council promoting comprehensive rural revitalization. I'd highlight the political center as well as the people centered nature. So strengthen serving the clients, product innovation and tech empowerment, etc. So as to build the -- us into a leading bank in terms of rural revitalization. In the first half of the year, the three agriculture balance is about number RMB9.6 trillion, an increase of about RMB800 billion. So you can see the growth is 1.6 percentage higher than the average speed. So we have five major actions being taken, first, implemented the green finance. So in terms of farm lands as well as the seeds, we actually formulated the specific and dedicated policies for farmland and seas, where the farmland loans and agriculture and the green warehouse loans as well as the other whole product chain product. So you can see that the supply guarantee loan is more than RMB900 billion, an increase of RMB144 billion and 10 percentage points higher than the average growth. And second, we implemented and further expanded property alleviation achievement. So there is a dedicated campaign to do three things. First, we continue to consolidate achievements of the property elevation. And second, we continue to promote rural revitalization is area. And for those low-income people, we will also regularize their support in 160 key supporting areas. We support in their featured products as well as the poverty alleviation and we coordinate Eastern and the Western regions in terms of the support delivery in 160 key counties. The total loan balance is at more than RMB400 billion, an increase of about RMB300 million. So you can see that this is also a very big increase. So certainly, we also support the wealthy development project or campaign, We support more on the tourism, e-commerce as well as the coaching. By the end of June, you can see that the total loan balance is RMB2.26 trillion, and 15 percentage points higher than the global average growth. And fourth, we support our farmers to become more wealthy. We broadly support the farm household loans development so as to develop the creditworthy household development. So you can see that the continued development has been further related to farming households last year with the loan balance exceeding trillion level. It also kept a faster growth. In the first half of the year, you can see that average culture related loans is about RMB1.6 trillion, an increase of RMB300 billion. So the growth is about 29.5%. The farming household is actually 6.95 million and will cumulatively serve more than 17 million farming households, in particularly in the second half of the year with the guidance of the [indiscernible]. We also have the dedicated products [indiscernible]. So the balance is about RMB94.3 billion. It will be mainly targeted for the poverty area and major supported area as well as the revolutionary area and the balance is RMB72.6 billion, and six, we’re also implemented the loans to support the livelihood development of different counties and the country side, for example, the infrastructure and the public utilities as well as the other environmental improving project. By the end of June, you can see that rural construction balance is RMB2.2 trillion, an increase is RMB200 billion and 5.8 percentage points higher than the bank's average growth. Third plenum focus on promoting the China style modernization and also proposed integrated development of rural and urban areas, and focusing on promoting the common development and prosperity of both areas to empower rural as well as the urban areas. There are series of the reform measures being adopted. So you can see that at a county level rural area, there has a new round of opportunities. For example, we will see the faster development of the rural industries and rural consumption will be further upgraded. And the rural infrastructure development will be further intensified. And rural basic public services and supporting facilities will be accelerated, etc. All of this will play a very important role for ABC to better serve rural revitalization. And in the future, ABC will continue to implement the spirit of the sub-plenum of the 20th party Congress, in particular, focus on the key areas of rural revitalization in five major priorities. We will make dedicated efforts. First, we will intensify the loan extension to the three agriculture as well as the county area to strengthen. The food security development to further upgrade the consumption in the rural areas and to develop the public utilities as well as infrastructures. And then second, we should focus on the policy product as well as service model innovation. In particular, we focus on the new business format and new players and new factors and production players, so as to build a future supply chain development for the rural areas to precisely satisfy the needs of rural areas as well as the agriculture. So here, I would like to say for natural disasters as well as agriculture price downward trend, we will comprehensively consider about the loan extension, rollover or the other solutions as to mitigate the challenges as well as difficulty after farming households. And instead, we'll be very much dedicated to integrate technology with finance. We use a new generation of the fintech to build a more convenient and beneficiary products to the farming households. In particular, we comply with the smart bank development trend, deeply dig into the value of the value of the data in rural areas as to support the business model innovation so that data can play a bigger role and the farming households, they will see more convenience. While at the same time, we use remote sensing of the satellite and big data and accelerated AI deployment so as to actually facilitate a rural revitalization. First of all, we will further nurture compliant corporate culture, and internal control. So that we, during and after loan disbursement, we can make full use of technical means to realize whole process, whole product, whole personnel risk control. This will improve the mechanisms of the [indiscernible] business unit in terms of authorization. And incentives will strengthen support for them to nurture high-caliber professional talents, who understand agriculture and we love the rural areas. And we also work hard to build and make the use of our personnel, especially the personnel serving more rural revitalization in rural areas. They are emotionally connected to the rural areas, and they will write new chapters for pro forma development.
Unidentified Company Representative: Thank you VP Lin for your response. Next question, please. Lady from the right.
Unidentified Participant: Thank you for the opportunity to raise a question. I have a question regarding digital finance, which is one of the five chapters and also a main battlefield for modern banks. So what is your progress on digital transformation and how you work on digital finance and provide featured digital finance service system.
Unidentified Company Representative: Thank you for the question. I'd like to ask VP Xuguang to answer the question.
Zhang Xuguang: Thank you for the question. Digital transformation, let me report to you what we have done and what we will do in the future. In the first half of the year, we worked hard in five aspects. First, we have improved digital products and service system. We launched a new generation online products, Fast Loan 3.0. We have also made iterations and launched a new feature products. We have strengthened support for SMEs and Sci-tech enterprises by improved -- the financial services for different scenarios, like education, government, business etc., so that G, B, C are having win-win results through our ecosystem. Second, we are strengthening Sci-tech empowerment for Sanno (ph). We have launched digital village platform and other agriculture related applications by the end of June. The platform has welcomed 260,000 entities covering more than 6,000 counties, serving more than 6 million customers and farmers. Credits has been expanding by the end of June. The loan balance is RMB1.4 trillion, an increase of RMB319.7 billion compared to – with year beginning. Thirdly, we are deepening the channels of digital finance and operational capabilities. We have launched a Palm Bank 9.2 (ph) by the end of February, 231 million MAUs. Daily serving 96,000 person times every day. We had also optimized the procedure for opening accounts to support mobile banking services for new account opening through fast and convenient services for our customers. Firstly, we are enhancing the application of AI for key areas. AI utilization share has increased. We pay special attention to the empowerment of AI for our business operations through intelligent upon calling and menu, upon calling and our outlets, we are integrating the three. We have also launched the [indiscernible] so that our business can be handled online through part banking. We're also efficiently empowering the daily operations of our business managers. AI is very popular right now. We have worked very hard on AI. In addition to big model -- Big Data model, we have also worked hard on decision making AIs. Thirdly, we are solidifying the digital infrastructure to accelerate enterprise level, white coverage enterprise architecture, so that enterprises can enjoy the bottom data support and layer data support from us. The units is 10,000. So originally, it was more than 10,000. Now, we focus on between 200 and 300, more frequently used items. It is a huge systematic project. You can also make a comparison between ABC and other banks. So we have worked very hard and effectively, in terms of the utilization of Cytec. We have also coordinated the data centers of three places to progress with distributed core project, to increase our cybersecurity protection capabilities, to strengthen guarantee for business continuity with reliable and stable financial services. So there's a five pronged answer regarding what we have done in the first half of the year. Next, I would like to focus on what we will do in the future. Mainly, the following, we'll call all out for smart bank. Centering on AI deep application will do well in following. First of all, business readiness to accurately identify the directions for utilization of AI to -- so that operational model and business processes can be coordinated and aligned with each other so that we can provide better services and convenient services for customers. Second, data readiness through data and knowledge projects, we can accumulate high quality data and solidify the data foundation for AI application maybe after another one or two years, you will find that the bottlenecks of AI is not the algorithms and computing resources, but data. So the key is the data. So we need to work hard on data. Third, dwell in technology readiness. Technology plus model will be our IT’s architecture for IT R&D and operational efficiency will be based -- current architecture processes are for the existing business processes. Previously, it was reliant on manually, but now we are doing systems. But if you use data, AI, the models very quickly, that is a big challenge for the system architecture of banks. Big challenge for traditional architecture. Fourthly, we will do well in management of models to improve host life cycle management models so that we can strengthen our continuous operation capability and keep improving data model capabilities. Previously, we didn't have models, but now we have too many models. We may be competing with each other, and present problems to us. So new problems. Firstly, we will ensure personnel readiness to have high quality talents to get the talent ready for AI application in the future. That's my five pronged response to the question.
Unidentified Company Representative: Thank you, VP Zhang for the answer. Now let's invite another question from online meeting room.
Unidentified Participant: Thank you. Yes. Thank you. I’m from [indiscernible]. I have a question related to inclusive finance. Over the past several years, the regulators have been promoting the banking sector to develop inclusive finance loans. ABC has been very active. Your inclusive finance business has been developing rapidly loan balance more than RMB4.5 trillion, but the economy is down, so people are concerned for SMEs and private enterprises, they may not be strong enough in resilient in risks and some assets may expose the risk. So how do you guard against the credit risks in terms of inclusive finance and going forward, how do you strike a balance between scale growth and risk control? Thank you.
Unidentified Company Representative: I'd like to invite VP, Liu to take the question.
Liu Hong: Thank you for the question. In the first half of the year, ABC has been actively honoring the spirit that financial work is of little nature to serve the people to strengthen support for inclusive finance. We support SMEs for their operations, which has greatly promoted the economy to turn for the better. By the end of June, inclusive finance loan balance of ABC reached RMB4.5 trillion, an increase of RMB923.6 billion. And for SMEs inclusive finance loans increased by RMB3.2 trillion, an increase of more than RMB500 billion compared to the year beginning, effective users, an increase of now 890,000 compared at the beginning. So in SMEs and inclusive finance loans, our main feature in ABC. Now the Chinese economy overall is having very good fundamentals. Good momentum is being accumulated, providing a solid foundation for healthy and sound development in this area. ABC will continue to strengthen support for inclusive finance by expanding the coverage, making the services more convenient. First of all, we focus on major strategies, major areas and the vulnerabilities and strengthen the loan disbursement for inclusive finance, optimize the credit structure to meet the agriculture related Cytec [indiscernible] and manufacturing industries, loan needs and also the inclusive finance market. Financing is in Northeast of China, so that we can serve the high quality development of the rural economy. Second, we will promote the development of digital inclusive finance version 2.0 so they can have the product system and they have a dedicated platform for SMEs and pro forma platforms, so that we can further improve our services for inclusive finance. Third, we will give full play to ABC's more feature of having wide coverage in rural areas. We'll combine offline and online and work on two legs, rural and urban. So that resources can be more reasonably and fairly distributed and financial development can benefit more general public. ABC will uphold the philosophy of high quality development, strike a balance between business goals and risk control and insure compliance and internal control inclusive finance loans overall risk has been kept at a low level for many years. Asset quality has been kept at, within the range of regulators requirements with the macroeconomic policies. Results began to play out. The market players where we assume ABC has the confidence and capability to continue to realize the high quality and sustainable development of inclusive finance. Thank you.
Unidentified Company Representative: Thank you VP, Liu for the answer. Anthony (ph) in the middle.
Unidentified Participant: Senior management and [indiscernible] from Economic Daily. And my question is related to retail business. We can see ABC announcement of results be it personal loans or credit card business for personal. For retail business, it has been growing very well, therefore -- the banking sector, overall, the gross margin is declining. So can you explain to us the development priorities for retail banking of ABC?
Unidentified Company Representative: Now I would like to ask VP, Lin to answer the question.
Lin Li: Over the past three years, among the 700 commercial banks in the world, ABC for three consecutive has been awarded the most -- the largest retail banking with the largest with brand value. For financial sector and banking sector of China, ABC is the only bank that has been awarded this title, and that shows the high recognition of the work by ABC. It also shows the retail business changes in the banking sector of China. In ABC's operations and development, I think retail business has a very important position strategic position in specific practice, we have been honestly practicing the philosophy of people's finance for the people. We uphold with three drivers, that is innovation, Cytec and service. In this process, internally, we have also taken stock of the experience that is working into tens of thousands of hospital -- households racking our brains, making every possible means to promote such development and kept very good momentum. By the end of June, for ABC's personal customers total is 870 million, which has kept our leading position in our peers. You can see that for the new citizens as well as the elderly people, we pay special attention. We have to further respect those elderly people, we also have the commercial clients and the countryside clients, etc., we have very effective measures adopted for different kinds of client base. Individual clients financial assets altogether 21.18 million. And you can see that the individual deposit daily is 17.55 trillion, all among the first for the peers. And individual loans is RMB8.65 trillion. In the future, for ABC, we will continue to implement the third plenum of the 20th party Congress as well as the central financial conference period. In particular, we would like to focus on the priority area for the general public, continue to deepen reform and opening up to do the difficult, but correct things. So as we enhance the quantity as well as the quality of the financial services. In the future retail business, there will be three focuses. First, focus on inclusive finance to increase the convenience as well as the availability of the services. First, to strengthen the capability of the services. For the integration of the rural and urban areas, we would like to specifically provide good services for the new citizens. In particular, for the May 21, the financial service plans and to further plans, the so-called -- actually the blessing card for the migrant workers, SME cards as well as the other feature products promotion just to facilitate new citizens to be better integrated into the new urbanization process. And second, we would like to continue to expand financial supply. We are liked by the open bank philosophy to insist on the client centered approach to optimize the ecology of the services. We insist on the team building will be the key to enhance the comprehensive services capabilities and to focus on innovation of the product as well as the services, insist on digital finance, so as to construct the competitiveness of our businesses. And here, we would like to coordinate consolidate overseas as well as domestic business resources to promote insurance, wealth management, precious metal as well as the family trust as well as the private banking businesses, so as to link the entire market to cover the whole spectrum of the businesses. And of course, during this process, we're going to manage our expectation as well as to have to qualify the delivery to have the crossover corporations to provide more and high quality products and services to our clients as you satisfy their diversified needs and to facilitate the wealth related income. And said, continuously to enhance the availability as well as the convenience of financial services. We have to make good usage of the platform based instrument to go to the schools and enterprises as well as the campus so as to reach out to more clients. In terms of the outlet deployment, we have been promoting the development of the community based outlets so that ABC will become back nearby. On the next door bank, and we will continue to optimize the process of our businesses, so as to enhance the convenience of the foreigners as well as the elderly people, in particular, in terms of the payment. And second, we have to focus on patient-related finance. And first, we have to provide the stable and sound financial services continue to do a good job for the pension finance to promote the pension related services all over China to have the consumption credit as well as the other pension related services, so that the elderly people will get better product as well as services during your whole life cycle. And we should also assist our clients to have a safe and sound as well as the appreciated wells for the elderly support. And second, to enhance the warmth of financial services, we have to further penetrate to our client to further expand the coverage of the urban and rural areas in terms of the pension finance to make our outlets more elderly adaptive and to positively explore the so-called the digital engineering service so as to enhanced precision as well as the warrants of the financial services. And said, to further do a good job in terms of the financial allocation, we should take good advantage of the 22,000 outlets of ABC. We should also enter into the communities, the service, providers as well as the elderly universities and to provide all kinds of promotion campaigns such as anti-fake (ph) campaigns so that to safeguard the pocket as well as the wealth of the elderly people. And third, focus on customer services as to enhance the satisfaction. We have to provide precise services to our clients. In particular, five capabilities: first, comprehensive service capabilities and digital support capability, precise operation capabilities, professional investment adviser capabilities as well as the very people centered inside capabilities. Through these five capabilities, the retail business of ABC will shift from product centered to the client centered philosophy. In the past three years, ABC in our retail businesses, we have been insisted on this principle. The shift from product center to the client centered approach. At the same time, we will continue to strengthen one client and one bank philosophy continue to provide layered services to a different segment of the people, as you satisfy their differentiated needs. And further to consolidate the consolidation of the resources, now we have been thinking about the -- the client benefits systems as to enhance their experiences. And second, to ABC enhanced a precise services, in particular, the tech led as well as the data empowered services. Data should further facilitated our AI plans services. In ABC, we have been promoting AI plans. There are seven projects altogether, two of them are in the retail segment. So that online, offline will be better converged together in terms of service delivery. First, we have to take a deep insight into the demand and then match the revenue product and then reach out to the clients and then finally accompany our clients during the whole process. And said, optimized scenario based services to build the multiple scenarios to serve the clients and to integrate the bank services into people's daily life and work and to further enhance stickiness of the clients and enhance finance plus non-finance one-stop financial services capabilities and force, very importantly, to further consolidate the consumer interest rise protection. We assessed that actually, the clients' interest will be our utmost interest so we will respond to the needs of our clients. In particular, from the route level, we have to consolidate the foundation of consumer protection. We believe that for consumer protection, we shouldn't just talk about consumer protection for consumer protection sake, we have to do a good job from the route in our businesses, but at the same time, do a good financial knowledge, dissemination and publication work. And in a word, high quality development needs have efforts being made, but we still have confidence to make a positive trend.
Unidentified Company Representative: Thank you, President Li. Next one, please. This lady.
Unidentified Participant: I came from Securities Daily. My name is [indiscernible]. My question is that ABC in terms of the personal credit business, you have been outperforming the other peers. Do you feel that pressure in your credit asset quality in the future in terms of the measures, what will be the new measures being adopted to safeguard stability?
Unidentified Company Representative: Okay. This is also about the retail business. Okay. Thank you for raising this question. So we can respond from three different aspects. For ABC, you can see that the personal credit business, on the one hand, we implemented the central government guidance about stimulating consumption and to expand the service coverage, we pay high attention to the businesses with clear inclusive finance features. The business strategy is very clear. We insist on making progress through stability and to actually have more innovations, more stability to connect different dots and to business line, so as to strengthen our credit extension. By June, you can see that the balance is 8.65% for individual clients. And you can see on a year-on-year basis, there is an increase of about RMB112 billion, increased by 7.3% and taking the lead in terms of the amount as well as the gross speed. And individual consumption balance and RMB1.2 trillion, increased by about RMB84 billion. And we also extend the RMB330 billion and an increase of RMB120 billion. Credit consumption, RMB1.1 trillion, increased by RMB35.1 billion and individual operation-related loans more than RMB2 trillion, RMB2.38 trillion, an increase of RMB595 billion so extended RMB1.94 trillion, an increase of RMB570 billion. And individual mortgage, RMB5.07 trillion. We extended RMB309.6 billion. So you can see from all different aspects, we have been further stimulating consumption and expand domestic demand. And the second, for the individual credit business, you can see that the quality of the asset is quite stable and controllable among different months. You will see that there will be some volatility of the asset quality, but generally speaking, the overall quality is still stable and controllable. The NPL rate is 0.79%, provisioning rate is 395.1%. In terms of the asset quality as well as the cushion and buffer, we can see that this is a very good protection. Individual NPL ratio is 0.58%. Credit card and individual consumption loan NPL rate 1.17%. Credit card NPL is 1.42%. And individual operation loans, 0.95%, in terms of NPL rate. So from this statistics, we can understand that the individual loans risk control as well as the asset quality are quite stable and basically controllable, but we still keep a close eye on that. Sometimes there will be some volatility. We should pay high attention as to fight against all kinds of risks. And certainly, we have to further strengthen the rig prevention and mitigation. We should implement it -- the central government decision and deployment are mitigating and the resolute risk of the finance, so as to prevent the systemic risk from happening. This is our mission. During our daily work, we have been adopting different measures. In summary, there are four characters, which is actually controlled new and to a bit old. First, we have to further integrate the risk control with the business development. First, insist on compliant business development, to further actually have a better control about the compliance work. We think that there are thousands of different businesses, but compliance is the utmost priority. First, we have to optimize the whole process risk monitoring mechanism. The depth of the risk control should be integrated into the policy adjustment, the client access as well as the other things. So as to consolidate risk control from the source. For personal loans, if we innovate a product, the leading department is not business department, but the risk department. So we can stem the source of risks. Like, risk requirements, risk control arrangements are embedded into the products, product by design and this is a very effective approach. Thirdly, we have established at the head office level, a dedicated personal credit model monitoring committee because now for many business, it is online. This way, it is more efficient. But that means for more the control optimization and improvement, risk control is a key factor. Every month, we'll have regular meetings on market access and credit extension model to have iteration and optimization to early -- do have early identification of risks, early warning and early disposal. For those that cannot pass the risk control requirements, we must to suspend [indiscernible] to ensure that these are controllable. Second, we push ahead the risks into the front part so that we can ensure authenticity, fight against the fraud and illegal intermediaries or progress. In the context of complicated environment, we need to have strict control various substantive risks. First of all, we need to make full use of blockchain technology to have a good optimization of pre-lending investigation and the rules and procedures are implemented. On the other hand, we have enhanced the cross-validation of model and data to improve the truthfulness of pre-lending credit investigation. Three, truthfulness that is true person, second true transaction, third true mortgage or collateral and on-site investigation. For personal business and loan business, we have introduced factors such as external data from Industrial & Commercial Bureau and COP, China Banking Union with very good effect and we have a red line that cannot be touched. That is in ABC, we prohibit various level of institutions to cooperate with various illegal brokers and intermediaries to go against professional ethics risks. And we also pay attention to empowerment by Cytec to make sure that the pre-lending, dual lending and post-lending management is very intelligent. Through establishing online plus offline collaboration, we can improve such management from manual labor to data driven. We rely on big data modeling technology to extract risk features to build, optimize and share early warning models to make sure that the close of early warning are more accurate so that grass roots level banks can have better management and we can release their burden. Firstly, we are having a diversified disposal of non-performing assets. We have established an improved non-performing assets, long-term mechanism. We made full use of collection, write-off asset securitization and reorganization means to accelerate the disposal of non-performing assets so that we can dissolve the existing risks. Going forward, ABC will further stick to coordinated striking a balance between development and security. The attention to livelihood areas internally, we think to do well the simple things that is no simple job. We have been expanding supply of sustained high quality financial services to resolve various risks and challenges so that personnel credit business can have very good development and so that people can have a very good sense of thing.
Unidentified Company Representative: Thank you, VP Lin for your answer. Next question. Gentlemen, in the middle, please.
Unidentified Participant: I'm from [indiscernible] Securities. My name is [indiscernible]. We can see this year, we have the pressure of economic downturn, the pressure is increasing but your asset quality is quite good, even the internal asset quality is even better than you're beginning. So my question is, in the current context in terms of the generation of NPL loans, in what areas the risks are higher, they should grab more of our attention. And going forward, how to assess the evolution of asset quality? Thank you.
Unidentified Company Representative: I'd like to ask VP Zhiheng to answer the question.
Zhiheng Wang: Thank you for the questions. Thank you for your attention to asset quality of ABC and for recognition of our asset quality. ABC has always deem a risk control as an internal team to resolve the real estate that and local governments that to improve the NPL disposal. By the end of June, NPL ratio is 1.42%, down by 0.01 percentage point compared with the year beginning. And if you look at other indicators, overall, ABC's NPL pressure is not very big for loans of a concern 1.42%, flat at the beginning and overdue rate down by 0.01 percentage points. ABC has always sticked to prudent risk classification. For overdue and NPL, see this difference is more than -- is negative RMB26.8 billion. And for NPL, legal process and retail business. For legal process, you pay a lot of attention to local governance and real estate sector with the national policies implementation in these two sectors, coupled with our own efforts. The loan risks in real estate sector are capital flat in ABC, NPL ratio is capital flat compared with year beginning, much lower than the peak value of last year. For urban investment as a NPL ratio is kept stable and the NPL ratio has realized a double decline. For retail business, NPL ratio has always kept at a low level. And the journalists have asked questions about inclusive finance, personal loans, and our President and VPs have given very good explanations. I will not go into details again. ABC has kept a very good track record in this regard. Going forward, for the second half of the year, we will be vigilant in terms of NPL ratio, but we are confident of keeping long-term stability of asset quality. Main reasons are Chinese economy is turning for the better and the momentum is still there. And the Chinese government has taken a series of measures to stable growth, which has very good effect. It is a very good macroeconomic environment. And ABC has been trying hard to serve the economy to optimize our credit structure. Credit extension is highly in line with the national strategy and economic transformation, that is the foundation for good asset quality for us. At the same time, ABC has been consolidating credit foundation to strengthen risk control of key areas. We have been conducting stress testing and for potential customer prospects, we are also been guiding against the risks, and digitalization have been expanded to pre-lending, dual lending and post-lending. We have good custom management and the risk estimate capability and accuracy has improved. So we are confident of the future asset quality of ABC. Thank you.
Unidentified Company Representative: Thank you VP, Zhiheng (ph) for your response. Next question. Lady from the left.
Unidentified Participant: Thank you, moderator. I’m from [indiscernible]. I have a question related to fintech. Fintech is one of the top of five chapters and top chapter. So what has been your achievements using fintech tools serve SMEs, any innovation in this model and what is your next step plan? Thank you.
Unidentified Company Representative: I'd like to invite VP, Liu to answer the question.
Liu Hong: Thank you for the question. In the first half of the year, we have been sticking to the principle of making steady progress while keeping stability by nurturing, emerging industries are making the pros for future industries, while keeping a good job at current industries. For high tech industries growth momentum, it is very promising, showing great resilience and endogenous demand. For example, new energy vehicles. The sales of new energy vehicles grew by 32% year-on-year and high-tech manufacturing and service sector investments have realized double-digit growth for both industries that shows the promising aspects for emerging industries. ABC has been honoring the spirit of the central economic work conference so that we are innovation driven to the grab the opportunities. We have been innovating financial products and service mechanisms to have high level self-reliance on fintech. By the end of June, ABC's strategic emerging industries loan balance, it reached RMB2.63 trillion. And our practices are the following. First, we innovated and improved the dedicated credit policy system. We have been keeping -- improving Fintech innovation, industrial policies and operation policy guidance to have differentiated policies, targeted policies for fintech enterprises in different development stages. We have dedicated credit solutions for them so that Cytec Enterprises can have all around whole life cost credit demand satisfied. And second, we have innovated and launched new products. For example, emerging industry empowerment loan to optimize the loans for specialized and new middle giant enterprises. And we also encourage branches to accelerate innovations for local products to better serve new industries new models and new growth drivers. Third, we have innovated and improved the dedicated institutions service capabilities. We have established a 19 Cytec financial service centers, more than 300 fintech featured branches to explore diversified organizational structure and business models. We have also been strengthening staffing of fintech talents, especially the R&D talent so that fintech finance can have -- Cytec finance can have high-quality development. We have also been working on the ecosystem. This and our strong features, center around Cytec finance. The government financial institutions and enterprises, industry academia, we have batch customer acquisition, and we have diversified financial services, including debt, investments and bonds, so that industry value chain, industry chain and value chain and talent chain are deeply integrated. At present, China is working hard on frontier leading technology to disrupt technology and common technology. In light of the new opportunities and new challenges in such a disruption track, ABC will intensify its efforts for this development the support for strategic and emerging industries and encourage the development of new technologies to promote new quality productive forces. And going forward, we'll further serve. We will optimize the organizational structure to serve Cytec finance innovation so that we can have more credit products that are suited to Cytec enterprises so that we can make sure our services are more efficient and effective. We can give full play to our advantage and enhance internal and external cooperations so that Cytec enterprises can enjoy diversified really type financial services so that strategic emerging industries, high-tech manufacturing and agricultural technology enterprises loan scale and share can have big improvements. Thank you.
Unidentified Company Representative: Thank you, VP, Liu for your answer. We have had full communication due to time constraint. We have last question. A question from the online meeting room. Please let -- very hot question that has not been touched before The question from online is this dividend distribution ratio of ABC will it be kept above 30%? How about the interim period? And what are the specific arrangements?
Zhiheng Wang: Let me take this question. I would like to thank the netizen for the question. You're concerned -- you're interested in knowing the dividend distribution of ABC. You can see since our listing, ABC has been upholding the principle of maximizing the shareholders' interest, we have stricken the balance of -- we need a return to shareholders and the long-term development of ABC. We have kept a high and stable payout ratio of dividend kept at above 30% with very good return for our shareholders. Going forward, we will continue to pay attention to the interest of the shareholders and keep the payout ratio of dividend very stable and striker balance of the interest of different groups and protect shareholders' interest. In terms of the interim dividend distribution, we are still working on it as scheduled, according to our plan. Prior to Spring Festival, we want to complete the interim dividend distribution so that the shareholders can benefit from that. In the morning, the Board already reviewed our interim profit distribution. It is suggested that actually tax included RMB40.738 billion, which is RMB1.16 per share. And we are going to propose this to the Board for the review. After the Board made a decision, we will continue with all kinds of work. So that before the Spring Festival of next year, we're going to finish the dividend payout. Thank you.
Unidentified Company Representative: Thank you President, Wang. Ladies and gentlemen, I sincerely thank you for participating in Agricultural Bank of China 2024 interim results announcement. I would like to thank the investors, analysts as well as media friends for your continuous interest and long-term support to ABC. But I also like to thank the top management for the comprehensive interpretation of our results announcement. If you have follow-up questions, please continue to contact our PR team as well as media team. That’s the end for this results announcement. Thank you for your participation. See you next time.